Operator: Good morning, and welcome to the AutoZone Conference Call. Your lines have been placed on listen-only until the question-and-answer session of the conference. Please be advised today's call is being recorded. If you have any objections, please disconnect at this time. This conference call will discuss AutoZone's second quarter financial results. Bill Rhodes, the company's Chairman, President and CEO, will be making a short presentation on the highlights of the quarter. Conference call will end promptly at 10 AM Central Time or 11 AM Eastern Standard Time. Before Mr. Rhodes begins, the company has requested that you listen to the following statement regarding forward-looking statements.
Unverified Participant: Certain statements contained in this presentation are forward-looking statements. The forward-looking statements typically use words such as believe, anticipate, should, intend, plan, will, expect, estimate, project, position, strategy and similar expressions. These are based on assumptions and assessments made up by management in light of experience and perception of historical trends, current conditions, expected future developments and other factors that we believe to be appropriate. These forward-looking statements are subject to a number of risks and uncertainties including without limitation credit market conditions, the impact of recessionary conditions, competition, product demand, the ability to hire and retain qualified employees, consumer debt levels, inflation, weather, raw material cost of our suppliers, energy prices, war and the prospect of war including terrorist activity, construction delays, access to available and feasible financing, the compromising of the confidentiality, availability or integrity of information including cyber security attacks and changes in laws or regulations. Certain of these risks are discussed in more detail in the Risk Factors section contained in Item 1A under Part 1 of the Annual Report on Form 10-K for the year ended August 27, 2016. And these risk factors should be read carefully. Forward-looking statements are not guarantees of future performance, and actual results, developments and business decisions may differ from those contemplated by such forward-looking statements and events described above and in the Risk Factors could materially and adversely affect our business. Forward-looking statements speak only as of the date made. Except as required by applicable law, we undertake no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. Actual results may materially differ from anticipated results.
Operator: Now I'll hand the call over to Mr. Bill Rhodes. You may begin.
William C. Rhodes, III - AutoZone, Inc.: Good morning and thank you for joining us today for AutoZone's 2017 second quarter conference call. With me today are Bill Giles, Executive Vice President, Chief Financial Officer and IT; and Brian Campbell, Vice President, Treasurer, Investor Relations and Tax. Regarding the second quarter, I hope you've had an opportunity to read our press release and learn about the quarter's results. If not, the press release along with slides complementing our comments today, are available on our website, www.autozoneinc.com. Please click on Quarterly Earnings Conference Calls to see them. To begin this morning, I want to thank all AutoZoners across the company for their tremendous efforts during what ultimately resulted in a challenging quarter. Our results this quarter were below our expectations due largely to a delay in tax refunds this year compared to last. Unfortunately, our performance this quarter ended our remarkable string of 41 consecutive quarters of double-digit growth in earnings per share. While this is clearly disappointing, I want to recognize and acknowledge the incredible performance of our teams across the company for delivering this virtually unheard of level of consistent performance for over a decade. Our sales increased 1.4% for the quarter and our domestic same-store sales were flat. It's worth highlighting, the first nine weeks' comp sales were up 2.2% while the last three weeks' comp sales declined 6.3%. And unfortunately, the last week was materially weaker than the other two weeks. As a result of these weaker than expected sales in the last few weeks, we ended the quarter with flat same-store sales. In an effort to provide a little more color, our sales through the Christmas holiday season were quite strong. Remember, prior to Christmas, we had some significant winter conditions and our sales, as expected, were strong. After Christmas, the weather was much more mild with minimal snow and ice in the Midwest, Northeast and Mid-Atlantic. During this period, our sales growth moderated. Then, as noted above, in the last three weeks when we began lapping the beginning of last year's tax refund season, our same-store sales declined fairly significantly. Late last year, the IRS announced that, in an effort to combat fraudulent tax refund filings, they would be delaying the issuance of refunds associated with returns claiming the earned income tax credit. Unfortunately, the timing of refunds typically begins in the last two or three weeks of our second quarter, and this year most of the refunds were delayed until after our quarter concluded. As context, as of the end of our quarter this year, the IRS had issued $24 billion in tax refunds compared to last year when they had issued $70 billion. This delay clearly created a material headwind this past quarter, but all indications are that total tax refunds for the year will be generally consistent with last year. Our expectation is we have shifted some sales from Q2 into Q3. Regarding regional discrepancies, our Northeast, Mid-Atlantic and Midwestern stores performed slightly better for the quarter than the remainder of the country. As a reminder, our Northeastern, Mid-Atlantic and Midwestern stores represent approximately 25% of our overall sales. Clearly, this year we experienced more winter conditions early in the quarter than we did last year, but we expected the winter conditions to be more pronounced and last longer. We are exiting this winter with two consecutive fairly mild winters. In regards to our three primary merchandise categories, failure, maintenance, and discretionary merchandise, we experienced similar slowing trends across all three categories during the last three weeks of our quarter. The majority of our sales are in the failure category, and close behind is maintenance. The deterioration in the last three weeks also drove our retail traffic count down for the quarter, while our average ticket trends were consistent with Q1. During the quarter, we opened another 33 new stores in the United States. We expect to open approximately 160 new domestic stores in fiscal 2017. Our commercial business continued to expand with 7.2% sales growth over last year's second quarter, while opening 12 net new programs. We expect to open approximately 200 net new commercial programs for the fiscal year, or approximately 150 additional programs in the last two quarters of the year. At the end of the quarter, 83% of our domestic stores had a commercial program, and we continued to expand in Mexico, opening three new stores. We didn't open any additional IMC branches this quarter, but we did open one new store in Brazil. While the domestic business dominates our sales mix and continues to be our primary focus, we believe we have great growth opportunities outside of the U.S. Regarding the Internet, we experienced improving trends versus our first quarter as our results improved sequentially as the quarter moved along. When I discuss online, I'm referencing business shipped directly to the customer and not buy-online and pickup-in-store. Our pickup-in-store business sales are recorded in store sales and are not in our All Other category. Our pickup-in-store business continues to grow rapidly, up over 20% for the quarter. Under the Yes! We've Got It theme, we are focused on improving our store closure rates. While our winter quarter is a lower-volume quarter, we still see plenty of examples of not being able to say yes to product requests because we didn't have or couldn't find what the customers needed within our network. In the spirit of satisfying our customers, we are making ongoing significant system investments and enhancements to capture data about our customers' shopping patterns across all of our platforms. We understand we have to be able to share information and process seamlessly between our stores, commercial shops, phone and online experiences in order to meet all of our customers' needs. As our primary objective remains growing our domestic, retail and commercial businesses, we continued with our inventory availability initiatives in order to respond to the ever-increasing challenge of parts demand in the industry. This past quarter, we rolled out two additional mega hub locations and now have 13 in operation. We are working diligently on the development of future sites and we expect to open approximately five more over the remainder of fiscal 2017. Our mega hubs continue to exceed our expectations. Additionally, we are continuing development on our two new distribution centers based in Washington State and Florida, and we are expanding our distribution center in Illinois. Our current expectations are for the Washington State facility to come online in late fiscal 2017 or early 2018, while the Florida facility will open six months to 12 months later. For your modeling purposes, each new distribution center is expected to cost approximately $60 million. Now, I'd like to take a moment to go into detail on our inventory availability initiatives. These are two very discrete and different strategies addressing different opportunities. Multiple frequency of delivery is solely focused on improving the in-stock levels for the SKUs that are stocked in our stores. And the mega hubs are focused on adding additional coverage to the local markets, meaning adding SKUs that would not have been available locally in our network before. Regarding multiple frequency of deliveries, we had roughly 2,200 stores receiving three or more deliveries per week at the end of Q2. This quarter, we added just over 100 additional sites as we tempered our rollout to focus on standardizing our operations and refining some of our methodologies. This has been a considerable change, and we haven't yet been able to fully achieve our desired results on a variety of fronts. As you remember, up until recently, we have serviced the vast majority of our stores once a week. All of our systems, processes and practices were focused on the cadence of these activities being once-a-week. This past quarter's deleverage was generally as expected, but still a bit higher than we thought at the beginning of the quarter due to the softness in sales at the end of the quarter. Once we open our new distribution centers, it will allow us to alleviate some of the cost pressures. We continue to model 15 basis points to 20 basis points of gross margin headwind from this initiative in 2017. The second ongoing initiative is the mega hub store concept. We are currently operating 13 mega hubs. We are very excited about what the mega hubs allow us to offer customers. As a reminder, these super sized AutoZone stores carry 80,000 to 100,000 unique SKUs, approximately twice what a hub store carries today. They provide coverage to both surrounding stores and other hub stores multiple times a day or on an overnight basis. Our sales results thus far in our open mega hubs continue to exceed our expectations. Currently we have just over 3,900 domestic stores with access to mega hub inventory. A majority or about two-thirds of those 3,900 stores receive their service on an overnight basis today, but as we expand our mega hubs, more of them will receive this service same day and many will receive it multiple times per day. We expect to ultimately operate 25 to 40 mega hubs once the implementation is complete. The constraint on the speed with which we can open these is availability and location of real estate. While an average AutoZone location is just under 7,000 square feet, a mega hub is 20,000 to 30,000 square feet or even more. Identifying and developing these locations in prime retail areas is challenging, and it takes time. While there are incremental costs to those rollouts, we continue to feel these investments will provide a better customer experience and increased market share. Our current assumption on this rollout is that we won't experience meaningful deleverage from this initiative in fiscal 2017. Along with improving local parts availability and assortment, we continue to manage this organization to provide exceptional service for our customers, provide our AutoZoners with a great place to work with opportunities for advancement, and ensure we do it on a profitable basis to provide strong returns for our shareholders. We will continue to stress the importance of going the extra mile to fill our customers' needs regardless of how difficult the request. Regarding Mexico, we opened three stores this quarter and now have 491 total stores. In local currency, Mexico experienced another solid quarter. However, Mexico sales in U.S. dollars declined given the decrease in the value of the peso to the U.S. dollar. As our peso financial results are converted to U.S. dollars on an average rate over the quarter, we continued to experience headwinds to our net earnings as a result. Based on exchange rate differences this year to last, we experienced an $0.18 headwind to EPS this past quarter alone. Sales in our other businesses for the quarter were down 3% over last year's second quarter. As a reminder, our ALLDATA and E-Commerce business, which includes AutoZone.com and AutoAnything, make up this segment of sale. This compares to being down 4.2% last quarter and reflects stronger performance in AutoZone.com's business for Q2. As I previously mentioned, we continue to see 20% plus growth in our buy-online pickup-in-store sales. This strength in pickup-in-store encourages us to continue investing in our in-store experience. Pickup-in-store while smaller than home delivery is quickly catching up in sales volume. We recognize that the majority of our site traffic is providing information to our customers prior to purchase and our E-Commerce platform represents an important part of our omni-channel experience. We see customers doing lots of research to learn about the products and on how to do repairs. While these businesses are small for us and less than 5% of our total sales, the omni-channel experience is important and we will continue to invest in our E-Commerce platform. With the continued aging of the car population we continue to be optimistic regarding trends for our industry in both DIY and DIFM. As new vehicle unit sales are reaching all-time highs and gas prices on average remain subdued, miles driven continue to increase. The lower end consumer benefits the most from lower gas prices relative to income. This trend remains encouraging. Regarding our expectations for the remainder of 2017, we expect performance to improve in Q3 if for no other reason than the shift in timing of income tax refunds. As we exit a disappointing performance in Q2, we are reinforcing to ourselves that we must continue to focus on both short-term and long-term performance, and we will be keenly focused on continuing to deliver consistently strong performance. Now let me review our highlights regarding execution of our operating theme for 2017: Yes! We've Got It. The key priorities for the year are great people providing great service, profitably growing our commercial business, leveraging the Internet, Yes! We've Got It, and leveraging information technology. On the retail front this past quarter under the great people providing great service theme, we continued with our intense focus on improving execution. While we've been adding store payroll this year, we're now enhancing our training to store-level AutoZoners and increasing the share of voice regarding availability and the Yes! We've Got It theme. We've been aggressive on our technology investments and believe these initiatives will help differentiate us on a go-forward basis. We realize as customers have become much more tech and mobile savvy, we have to have a sales proposition that touches all the ways they desire to interact with us. Our current and future technology investments will lead to sales growth across all of our businesses. The focus is on making sure AutoZoners can see inventory availability across the entire organization, not just their store, swiftly and accurately. In regards to commercial, we opened 12 net new programs during the quarter. Our expectation is we will continue to open new programs in the range of 200 programs in 2017. As we continue to improve our product assortments and availability and as we make other refinements to our commercial offerings, we expect that the estimated sales potential from the market will continue to grow. Our results continue to provide us confidence to be aggressive in adding resources and new programs to this very important growth initiative. We should also highlight another strong performance in return on invested capital, as we were able to finish our second quarter at 31.0%. We continue to be pleased with this metric as it is one of the best, if not the best, in all of hardlines retailing. However, our primary focus has been and continues to be that we ensure every incremental dollar of capital that we deploy in this business provides an acceptable return well in excess of our cost of capital. It is important to reinforce that we will always maintain our diligence regarding capital stewardship as the capital we invest is our investors' capital. Before I pass the discussion over to Bill Giles to talk about our financial results, I'd like to thank and reinforce how appreciative we are to our entire team's efforts to continue to meet and exceed our customers' wants, needs and desires. We remain bullish on our future performance because we have a great business operated by exceptional AutoZoners. Now, I'll turn the call over to Bill Giles. Bill?
William T. Giles - AutoZone, Inc.: Thanks, Bill, and good morning, everyone. To start this morning, let me take a few moments to talk more specifically about our retail, commercial, and international results. For the quarter, total auto parts sales, which includes our domestic, retail and commercial businesses, our Mexico and Brazil stores, and our 26 IMC branches, increased 1.6%. Switching over to macro trends, during the quarter, nationally unleaded gas prices started out at $2.16 a gallon and ended the quarter at $2.31 a gallon, a slight increase. Last year, gas prices decreased per gallon during the second quarter starting out at $2.09 and ending at $1.72. While prices at the pump are higher today than they were last year at this time, we continue to feel the absolute price of $2.31 a gallon is not high enough amount to change the driving behavior of Americans as we continue to see miles driven increasing. We also recognize that the impact of miles driven on cars over seven years old, the current average, is much different than on newer cars in terms of wear and tear. Miles driven increased 1.6% in October, 4.2% in November, and 0.5% in December. And for all of 2016, miles driven were up 2.8%. The other statistic we highlight is the number of seven-year-old and older vehicles on the road, which continues to trend at our industry's favor. For the trailing 52 weeks ended, total sales for AutoZone store was $1.775 million. For the quarter, total commercial sales increased 7.2% and the second quarter commercial represented 19% of our total sales and grew $29 million over last year's Q2. This past quarter, we opened 12 net new programs versus 32 programs opened in our second quarter of last fiscal year. We now have our commercial program in 4,437 stores, or 83% of our domestic stores, supported by 183 hub stores, and approximately 900 of our programs are three years old or younger. In 2017, we expect to open approximately 200 new programs. As we have begun our fiscal 2017, our trends have accelerated, which is encouraging to us. We are focused on having a great sales team and having much stronger engagement of our store management teams, particularly the store managers and district managers. We remain confident that we will continue to gain market share with our commercial customers. We are encouraged by the initiatives that we have in place and feel 2017 should be a better sales growth year than 2016. Our Mexico stores continued to perform well. We opened three new stores during the second quarter. We currently have 491 stores in Mexico. This upcoming year, we expect to open approximately 40 new stores. As Bill said earlier, we were challenged by difficult foreign exchange rate in regard to the peso. While sales and base currency were above plan this quarter, the devaluation in the peso was much greater than we assumed at the start of the year. The peso devalued over the course of the quarter and this has created a headwind and our EPS was negatively impacted by $0.18 a share. We do believe the Mexico leadership team has done an exceptional job managing the peso-denominated business. Regarding Brazil, we opened one new store and currently are operating nine stores. Our plans are to grow between 20 and 25 total stores over the next few years. And while sales growth has been very encouraging, we continue to refine our business model to make sure that it works for us financially. Gross margin for the quarter was 52.7% of sales, down 9 basis points. The decrease in gross margin was attributable to higher shrink expense and higher supply chain costs associated with the current inventory initiatives, partially offset by lower acquisition costs. In regards to product cost inflation, it was relatively insignificant. Currently, we feel costs will be predictable and manageable, and we remain cognizant of future developments regarding inflation, and we'll make the appropriate adjustments, should they arise. Compared to the prior year, we have incurred more costs related to our supply chain in support of our inventory availability initiatives, along with rising shrink expense after several years of declining expenses. The merchandising organization has and will continue to work diligently to offset these headwinds with a focus on lowering acquisition costs. Our primary focus remains growing absolute gross profit dollars in our total auto parts segment. SG&A for the quarter was 35.9% of sales, higher by 9 basis points from last year's second quarter. Operating expenses as a percentage of sales were higher than last year due to higher domestic store payroll, offset in part by lower incentive compensation. We are beginning to see an acceleration in average wage rates as certain states and municipalities have increased minimum wages and as some national retailers have also increased entry-level wages. EBIT for the quarter was $384 million, up 0.3% over last year's second quarter. Our EBIT margin was 16.8%. Interest expense for the quarter was $34 million compared with $32.8 million in Q2 a year ago. Debt outstanding at the end of the quarter was $5.152 billion, or $307 million more than last year's balance of $4.845 billion. Our adjusted debt level metric finished the quarter at 2.6 times EBITDAR. While in any given quarter we may increase or decrease our leverage metric based on management's opinion regarding debt and equity market conditions, we remain committed to both our investment-grade rating and our capital allocation strategy; and, share repurchases are an important element of that strategy. For the quarter, our tax rate was 32.2% versus last year's Q2 of 34.7%. And I want to take a moment to remind listeners of AutoZone's first quarter adoption of a new accounting standard. The new standard requires us to recognize the tax benefit received from the gains employees have on stock options as a credit to income tax expenses on the P&L. This past quarter, it lowered our tax rate 358 basis points. This accounting change also increases the diluted share count calculation. Net income for the quarter was $237.1 million, up 3.7% over last year. Our diluted share count of 29.3 million was down 4.7% from last year's second quarter. The combination of these factors drove earnings per share for the quarter to $8.08, up 8.8% over the prior year's second quarter. Excluding the impact of the previously mentioned change in accounting for stock option exercises, our EPS would have increased by 3.8% for the quarter. Relating to the cash flow statement, for the second fiscal quarter, we generated $157 million of operating cash flow. Net fixed assets were up 7.3% versus last year. Capital expenditures for the quarter totaled $118 million and reflected the additional expenditures required to open 37 new locations this quarter, capital expenditures on existing stores, hub and mega hub store remodels or openings, work on development of new stores for upcoming quarters, initial investments in our new domestic DCs and information technology investments. With the new stores opened, we finished this past quarter with 5,346 stores in 50 states, the District of Columbia and Puerto Rico, 491 stores in Mexico, and nine in Brazil for a total AutoZone store count of 5,846. We also had 26 IMC branches open at fiscal year-end, taking our total locations to 5,872. Depreciation totaled $72.8 million for the quarter versus last year's second quarter expense of $68.7 million. This is generally in line with the recent quarter growth rates. We repurchased $198 million of AutoZone stock in the second quarter and, at quarter-end, we had $585 million remaining under our share buyback authorization, and our leverage metric was 2.6 times at quarter-end. Again, I want to stress we manage to appropriate credit ratings and not any one metric. The metric we report is meant as a guide only, as each rating firm has its own criteria. We continue to view our share repurchase program as an attractive capital deployment strategy. Next, I'd like to update you on our inventory levels in total and on a per store basis. The company's inventory increased 8.7% over the same period last year, driven primarily by our ongoing inventory initiatives during the fiscal year and, to a lesser extent, by the deterioration of sales trends at the end of the quarter. Inventory per location was $665,000 versus $633,000 last year, and $647,000 just this past quarter. Net inventory, defined as merchandise inventories less accounts payable, on a per location basis was a negative $36,000 versus a negative $57,000 last year, and a negative $67,000 last quarter. As a result, accounts payable as a percent of gross inventory finished the quarter at 105.5%. Finally, as Bill previously mentioned, our continued disciplined capital management approach resulted in return on invested capital for the trailing four quarters of 31%. We have and will continue to make investments that we believe will generate returns that significantly exceed our cost of capital. Now, I'll turn it back to Bill Rhodes.
William C. Rhodes, III - AutoZone, Inc.: Thank you, Bill. This quarter, our sales and profitability performance were not up to our standard. Much of the challenge was macro in terms of delayed IRS refunds, but we have also incurred rising operating costs, which include our initiatives. At the end of the day, we have had a remarkable track record of success and we will continue to focus on optimizing both short and long-term performance. We have an exceptional team that executes extremely well. Our focus remains on being successful over the long run. That success will be attributable to our approach to leveraging our unique and powerful culture and focusing on the needs of our customers. To execute at a high level, we have to consistently adhere to living the pledge. We cannot and will not take our eye off of execution. We must stay committed to executing day in and day out on our game plan. Success will be achieved with an attention to detail and exceptional execution. Over the course of the last quarter, two topics have garnered a significant amount of attention and, before we move to Q&A, I would like to address those directly. First, following the election, the border-adjustable tax has become a hot topic. As I'm sure many of you know, I was part of a contingent of Retail Industry Leaders Association CEOs who went to Washington, D.C. and met with President Trump, members of his administration, and various members of Congress to share our perspective on the potential harmful effects of this proposal. While we are concerned about the impact on retail business models, we are more concerned about the ramifications for hard working American families due to likely significant inflation that would ensue. Our key message is that we certainly support a pro-growth agenda, including corporate and individual tax reform, but we stress the importance of a thoughtful approach to tax reform to avoid any unintended consequences. Secondly, there have been articles written and increased dialogue around online retailers encroaching on our space. Much of the information highlighted is not new news. There haven't been any significant changes in the competitive landscape, including suppliers' relationships with online retailers. We are very aware of online threats and we are very focused on leveraging our longstanding strengths to effectively compete with all competitive sets. While clearly the online channel has grown their share in the automotive aftermarket and virtually every other retail sector, to-date our portion of the sector of the industry has continued to grow generally in line with the overall market. While we can never take any competition lightly, we believe we have some clear strengths that allow us to more than effectively compete. Specifically, the trustworthy advice provided by our AutoZoners each and every day helps customers in many ways, in many cases where they don't know what parts or services that they need, and we provide basic services to get them on their way. We also have the ability to test parts on cars to determine exactly what the problem is. With 80% of the U.S. population within eight miles of an AutoZone, the immediacy to resolve a customers' needs with trustworthy advice and having the right high-quality parts remains a competitive advantage for us. Our customers have choices and we must exceed their expectations in whatever way they choose to shop with us. We are fortunate to operate in one of the stronger retail segments and we continue to be excited about our industry's growth prospects for 2017. As consumers continually look to save money while taking care of their cars, we are committed to providing the trustworthy advice they have grown to expect. It truly is the value-add that differentiates us from any other faceless transactions. Customers have come to expect that advice from us. It is with this focus we will implement more enhancements on both our website and in-store to provide even more knowledgeable service. We don't ever expect an online experience to replace the advice our customers want, but they do expect more information on repairing their vehicles. This aspect of service has always been our most important cultural cornerstone, and it will be long into the future. Our long-term model is to grow new store square footage at a low single-digit growth rate and we expect to continue growing our commercial business at an accelerated rate. Therefore, we look to routinely grow EBIT dollars in the mid single-digit range or better in times of strength. And we leverage our very strong and predictable cash flow to repurchase shares, enhancing our earnings per share growth into double-digits. We feel the track we are on will allow us to continue winning for the long run. We believe our steady, consistent strategy is correct. It is the attention to details and consistent execution that will matter. Our belief is strong consistent strategy combined with superior execution is a formula for success. Our charge remains to optimize our performance regardless of market conditions and continue to ensure we are investing in the key initiatives that will drive our long-term performance. In the end, delivering strong EPS growth and ROIC each and every quarter is how we measure our sales. Now, we'd like to open up the call for questions.
Operator: Our first question comes from Alan Rifkin from BTIG. Your line is open.
Alan Rifkin - BTIG LLC: Thank you very much. Bill Rhodes, based on your past experience with the delays in income tax refunds, is there any reason why we should not believe that the revenues lost in Q2 will be replaced dollar-for-dollar in your fiscal third quarter?
William C. Rhodes, III - AutoZone, Inc.: That's a great question, Alan. How are you? I would say, first of all, all indications that we see are that the total tax refund dollars will be the same as they have been the last few years, so that is a good thing. The piece that we don't know and which is unchartered waters for us is the timing is going to be delayed significantly more than it has been in the past. We've had times where it's been a week or a week-and-a-half. This time there was a full three-week or more delay for the most significant of those refunds. And so, one thing that we question – we don't have any facts to know whether it's good, bad, or indifferent for us is with the timing being in a different time of year, do more of those dollars come into our sector or do more of those dollars go into another sector. We don't know the answer to that, so we're somewhat going to have to wait and see what happens.
Alan Rifkin - BTIG LLC: Okay. Thank you. And a follow-up, if I may. So, with respect to your three initiatives: increased delivery, the hubs, and the mega hubs, all of which are at various stages of maturity, can you just go through and assess your belief in terms of the potential progress of each of those three, and what the ultimate revenue gains and profitability gains and, most importantly, ROIC gains can be? If you had to rank the three initiatives, Bill, in terms of ultimately what would give you the biggest bang for the buck, how would you rank them? Thank you.
William C. Rhodes, III - AutoZone, Inc.: Yeah. Great. First of all, I would start with hubs. We've got 183 or so hubs that are out there today. They are tried and true. We first started them around 2000-2001. We somewhat deemphasized them in the middle 2000s and realized in 2008 or 2009 how vitally important they were, so we rejuvenated them in 2008 or so, and they have been humming right along ever since. That gave us the insight that expanded parts coverage is a material differentiator in the marketplace. So, then we came up with the concept of mega hubs, which basically doubles the number of SKUs that we carry in the local marketplace that takes it to 80,000 to 100,000 SKUs. Ever since we began talking about the mega hub, every time we've talked about it, we've said they continue to exceed our performance. I don't know that we could be more bullish or more open about how good that has worked for us so far. So, we're really excited about that. Everybody keeps asking us why don't we go faster. I promise you we're going as fast as we can, but a big part of this is finding really high-quality retail space that's 30,000 square feet. That's not easy to do. I think our teams have done a great job getting the 13 that we have open. We have about five or so more to open in the second half of the year. We hope to be able to open 25 to 40. We're still trying to figure out what that right number is. As we continue to outperform, I think that makes the likelihood of the number being higher rather than lower. And then, the third one is...
Alan Rifkin - BTIG LLC: (39:35)
William C. Rhodes, III - AutoZone, Inc.: I'm sorry?
Alan Rifkin - BTIG LLC: No, I'm sorry, Bill. Please go ahead.
William C. Rhodes, III - AutoZone, Inc.: The third one is multiple frequency of delivery, MFD, for us. And that one's been a little bit of a mix bag. So far, we absolutely believe it's the right thing to do. But we've gone and we've changed a significant amount forever. In our 37-year history, the vast majority of our stores we've delivered once-a-week and so our replenishment algorithms are based on once-a-week deliveries. Our DCs and the way they're structured are set for once-a-week deliveries. Our stores and the way they put up trucks are set for once-a-week deliveries and on and on and on. And as we've gone further, if you know, we kind of slowed this one down about six months ago. We slowed it down because we started to uncover some unintended consequences that were happening as a result of those changes. We still believe, this, in some form, is going to be the right thing to do for our customer and for our business. We still got quite a bit of work to do to make sure that we optimize it. So, that one is still a little bit in flux, the other two are tried and true. They're in full implementation mode. We just got some work to do to refine MFD. Sorry, Alan.
Alan Rifkin - BTIG LLC: No, thank you very much. Does the potential exist for any of the hubs to be converted to mega hubs?
William C. Rhodes, III - AutoZone, Inc.: Yeah, that's what's happened with some of them. Some of them are on a piece of property where we can add another 15,000 square feet and so we've done that. Others of them are landlocked and it may be a great hub store that's in the right place, but we have to move it because we've got to get a bigger facility. It's strictly about the size of the facility.
Alan Rifkin - BTIG LLC: Okay. Thank you very much.
William C. Rhodes, III - AutoZone, Inc.: Yeah. Thank you.
Operator: The next question comes from Seth Sigman, Credit Suisse. Your line is now open.
Seth I. Sigman - Credit Suisse Securities (USA) LLC: Thanks. Good morning, guys.
William C. Rhodes, III - AutoZone, Inc.: Good morning.
Seth I. Sigman - Credit Suisse Securities (USA) LLC: A couple of questions on gross margin. First on the shrink issue, it seemed to be one of the biggest differences versus prior quarters. Have you seen a change in the actual losses or does that just reflect inventory growth over the last few quarters, and how do we think about that drag on margin rate going forward into the back half of the year?
William T. Giles - AutoZone, Inc.: That's a good question. I mean, we've had really a number of years of unprecedented shrink results, they've been really historically low, and now we're seeing that turn the other way. And we recognize, as you highlighted, we've made a lot of changes, as Bill just kind of walked through a little bit on some of the inventory availability initiatives, particularly on more frequent deliveries. So, we've introduced a lot more activity in the supply chain and the store operations and suspect that that probably has contributed a little bit, but I would expect that headwind to continue for a little bit of time. It takes time for shrink to be able to turn around. It's not something that's going to turn around in a particular quarter, but I suspect it will continue to improve and the teams are working really hard to be able to bring it down.
Seth I. Sigman - Credit Suisse Securities (USA) LLC: Okay. And then, I guess, more broadly, there has been some gross margin pressure across the space. As you think about pricing, have you seen any change in pricing behavior? I mean, it seems like most of the gross margin issues are company-specific or isolated, but just wondering if you've seen any sort of promotions or pricing changes across the group.
William T. Giles - AutoZone, Inc.: Yeah, that's a good question, because when you look at our gross margin, we've rifle shot at two (42:50) particular individual items, both supply chain, which is inventory availability initiatives that we're very conscious (42:57) about; shrink, which has been in the historic lows and now a little bit higher. Past that, our gross margin rate is very healthy. We have not seen any kind of pricing activities in the marketplace that I would consider to be disruptive. Our merchandising organization continues to work very hard at lowering acquisition costs and have been very successful at it. So, overall, I would categorize our gross margin is very healthy. It continues to be very healthy in rational industry. We've got a couple of items that are in our control, and we're working hard at reducing them.
Seth I. Sigman - Credit Suisse Securities (USA) LLC: Okay. Thanks very much.
Operator: The next question comes from Simeon Gutman from Morgan Stanley. Your line is open.
Benjamin G. Zerman - Morgan Stanley & Co. LLC: Hey, guys. This is Ben Zerman on for Simeon. Thanks for taking my questions. I wanted to piggy back a little bit on the inventory initiatives and then ask another question related to miles driven trends. Related to inventory initiatives, it looked like you actually slowed the multi-frequency delivery rollouts a little bit this quarter, yet the shrink expense popped up. Can you give us any color around what to expect in terms of gross margins for the back half of the year? Should we expect them to expand if the shrink in inventory headwinds persist or can you give us some color on that? And then I have one more question.
William C. Rhodes, III - AutoZone, Inc.: I think, first of all, we did intentionally slow down the multiple frequency delivery rollout. We actually tipped that on the last call that we were going to move from 300, 350 stores a quarter to 100 stores in a quarter, and that's what we did. And we did that because it's causing quite a bit of change and with change comes some disruption in our supply chain and we wanted to slow it down so that we can work through some of those elements to change management. And honestly, it's had the desired result. I think things are settling down a bit in our distribution centers. We added a tremendous amount of workload to them over the last couple of years, so we're pleased with that change. Clearly, that has resulted in some increased cost in our supply chain. You saw that called out in our press release. Part of that was due to MFD. Part of that was also due to the significant decline in sales that we had in the last three weeks. So, I think, as we think about it going forward, we've been sayings it's 15 or 20 basis points of headwind going forward. Regarding the shrink question, I wouldn't necessarily draw a direct correlation in slowing down MFD and an increase in shrink. As Bill previously stated, I do think we've been moving a lot of inventory throughout our network over the last couple of years. And when you move inventory, the more times you handle it, the more susceptible you are to shrink. I again want to say what he said. We've had unprecedented improvements in our shrink expense over the last six years. It's going the other way now, but I am highly confident that our team will get back out in front of it and control it effectively. The only problem is, when shrink starts going one way or the other, it has a bit of a tail to it and takes some time to turn around; but, I think we would expect that to be a bit of a headwind for the balance of the year.
Benjamin G. Zerman - Morgan Stanley & Co. LLC: Got it. Thank you. And then, just one more question around miles driven. I know miles driven on at least a one-year, two-year basis decelerated a little bit in December. I don't know if you've seen this data, but if you were to slice the miles driven data by average vehicle age and look at each individual vehicle bucket, are you seeing any difference in trends between miles driven within your sweet spot of, say, 7-year old to 13-year old vehicles versus newer vehicles that tend to be with more the dealer while they're under warranty?
William T. Giles - AutoZone, Inc.: No, and I'm not so sure that we have access to slice it that way. I mean, from our perspective, the 2.8% increase for 2016 is a great number. I mean, for us to be able to be anything above a 1% on miles driven is a really solid number. And so, it's going to reflect more wear and tear, and we feel really good about where the age of the vehicles are and the increased wear and tear that they are incurring given the higher miles driven. So, I think, again, it points to a really healthy industry.
Benjamin G. Zerman - Morgan Stanley & Co. LLC: Okay. Thanks, guys.
William T. Giles - AutoZone, Inc.: Thanks.
Operator: The next question comes from Michael Lasser from UBS. Your line is open.
Michael Goldsmith - UBS Securities LLC: Good morning. It's Michael Goldsmith on for Michael Lasser this morning. Thanks a lot for taking my questions. My first question is on the tax refunds. And the delay in those tax refunds, did that have an outsized impact on particular parts categories or the DIY or commercial side of the business, and does the amount that you can recapture differ between these segments?
William C. Rhodes, III - AutoZone, Inc.: Yeah. I think the second part of your question is yet to be determined. Historically, we think we've recaptured them. This time, as I said earlier, the timeframe is significantly different, so we'll have to wait and see a little bit. I think – the parts categories, yeah, there's some differences. I don't think there's really any material differences in which categories respond differently. There's some of them deferred maintenance categories, like brakes, where you'll see a more pronounced difference. Failure category is a little bit less pronounced because you have to get the car up and running that day. You asked specifically about differences between retail and commercial, and I would say it's definitely more pronounced in retail; but, as it lingered, we saw it increase in commercial. All of this is going to play itself out over the next three weeks or four weeks. We think it is transitory in nature. There's nothing we could have done about it. As we now look back on it, I don't think there's anything we would do differently as a result. We'll just somewhat have to deal with the consequences of them trying to deal with fraud, which I think is the right thing to do.
Michael Goldsmith - UBS Securities LLC: That's helpful. And then, as a follow-up, given that we had a little bit of a colder December than last year, but generally a milder winter overall, how does that impact the setup for the rest of the year for Zone and the industry overall?
William C. Rhodes, III - AutoZone, Inc.: Yeah, to me, that's the most germane question that we're talking about. We loved what happened in December. Last year, we didn't have that kind of winter weather, and it was very encouraging to us. All the long-term forecasts said that it was going to last longer and be more pronounced, but basically as soon as we got through the Christmas holidays, the weather got much more mild. We would have preferred that December would have repeated itself in January. In the past, we've had a very mild winter followed by a more normalized winter, and we've seen those sales rebound in the spring and, particularly, in the summer. We're a little bit uncertain as we go into this year. We think, clearly, some of the deferred maintenance items that were pulled into December and January last year, that did not happen, so we would anticipate getting those deferred maintenance items in the third quarter and in the beginnings of the fourth quarter. But as far as failure items, because of the difficult winter, I think it's still yet to be seen, so – chassis parts and brakes and the like. So, we're going to have to wait and see if it's a little bit of a different cycle for us.
Michael Goldsmith - UBS Securities LLC: Thanks, again.
Operator: Thank you. The next question comes from Brian Nagel from Oppenheimer. Your line is open.
Brian Nagel - Oppenheimer & Co., Inc.: Hi. Good morning.
William T. Giles - AutoZone, Inc.: Good morning.
Brian Nagel - Oppenheimer & Co., Inc.: So, I hope not to beat a dead horse here, but first question quickly on the tax refunds; I think it's basically a follow-up to the prior question. If you look at, I guess, the results we saw today, it seems as though this delay likely had a larger impact on the DIY side. So, the question I have, is that – and I understand this delay is different than prior delays. But as you look back over time, is that usually what happens? Do you usually see a more pronounced impact on the DIY side?
William C. Rhodes, III - AutoZone, Inc.: Yeah. I would say, number one, we're much more mature in our retail business than we are in our commercial business. So, any macro headwinds or tailwinds we see more pronounced in the retail business. But clearly, every time we've seen it, it has been a bigger impact on retail than it has commercial. This time, we clearly saw it in commercial; although, it lagged a week-and-a-half or so.
Brian Nagel - Oppenheimer & Co., Inc.: Okay. And the second question I have – and I appreciate your comments, Bill, in your prepared remarks regarding E-Commerce because that has been a topic lately. So, the question I have is, has AutoZone taken any proactive – any more proactive actions lately, such as pricing – more aggressively pricing against some of the online competitors or even in advertising to protect the business more from this type of competition?
William C. Rhodes, III - AutoZone, Inc.: I would say, no. I would say we are continuing to execute our strategy. And I also want to say our head's not in the sand. We're very much cognizant of what's going on in and around us, but I would say our pricing philosophies, our advertising philosophies to-date have not changed as a result of any competitive threat. I would say we're constantly looking for ways to optimize our pricing and we're constantly looking for ways to improve our advertising. And clearly, digital advertising is becoming more and more important, whether that's going up against an online-only competitor or going up against traditional brick-and-mortar competitors. That is becoming a more and more important element, but I don't see that as a shift because of online competition.
Brian Nagel - Oppenheimer & Co., Inc.: Got it. Thank you.
William C. Rhodes, III - AutoZone, Inc.: Yeah. Thank you.
Operator: Next question comes from Matt Fassler from Goldman Sachs. Your line is open.
Chandni Luthra - Goldman Sachs & Co.: Thanks. Thank you for taking my question. This is Chandni Luthra on behalf of Matt Fassler. Most of my questions have been answered, but just quickly wanted to touch base on one or two topics. In terms of tax refunds, last week seemed to have seen a little bit of a pickup in the refund activity. Bill, could you talk if your comps also saw a bit of refunds in the last week or this week? Just curious there.
William C. Rhodes, III - AutoZone, Inc.: Yeah, sure. Last week, Wednesday, Thursday, and Friday I think there was something like $70 billion of tax refunds that were released, not that we're paying attention. We clearly saw our sales increase as a result of that. I want to be really careful about getting into too finite of issues on what's going on day-to-day or even over a weekend. We're in this business for the long term. But clearly, as those large amount of refunds hit the market, we saw a pickup in our business. And I'll leave it at that.
Chandni Luthra - Goldman Sachs & Co.: Great. Thank you. And then a follow-up on the lines of a question that Brian just asked in terms of the online business, the other category, ALLDATA, AutoAnything that declined 3% and was weak second quarter running, how are you thinking about improving trends in this business? Thank you.
William T. Giles - AutoZone, Inc.: Yeah. I think on both very different businesses, by the way, and they have made some improvements since the previous quarter, so I think they'll continue to grow. I think AutoAnything has had some challenges over the last six or so months and there's some real opportunities for us to expand SKU assortments and also to increase our search engine optimization activities, et cetera, in order to drive traffic. So, I think that we'll continue to be competitive there. And ALLDATA continues to be a very strong business and a very important business in the commercial segment as well. So, both businesses are flattish at the moment, down a little bit, but they're making some improvements and we expect to see them continue to make improvements over the next few quarters.
Chandni Luthra - Goldman Sachs & Co.: Perfect. Thank you.
Operator: Thank you. The next question is coming from the line of Mike Baker from Deutsche Bank. Your line is open.
Michael Baker - Deutsche Bank Securities, Inc.: Thanks. I guess, you had said you haven't really changed your pricing strategy, so I'll ask the question why not? How do you look at Amazon's pricing versus yours? I think a lot of us have done pricing studies and it does look like they are a little bit below you, so why wouldn't that necessitate a change to your strategy?
William C. Rhodes, III - AutoZone, Inc.: Yeah. I don't think there's any question that they're priced below us in many different cases, but I think the value proposition is extraordinarily different. Number one, the convenience factor, you can walk into our store and the sense of immediacy, particularly if you have a failure part that's right at your hand, so you can get back on the road immediately versus having to wait overnight or a couple of days in most cases. I don't think many consumers today are willing to wait when their car is down for that. So, that's one element. There are many elements. Another element is we've got tremendous trustworthy advice in our AutoZoners in-store. That comes with a cost and, therefore, it's part of the value proposition. But for an AutoZoner to help a customer figure out what is going on with their vehicle and what the solution is, there's value to the customer in that. We do core returns – a significant amount of our sales come with a core return where they're to take that core back and on and on and on. So, I think we feel like there's a significant value proposition differential between us and any online competitor. And what happens with that over time, we'll see. We've dealt with price competition for years. And some of that price competition, for instance, is in mass merchandising, and we've effectively managed through that over the years because there's a different value proposition. So, we don't see it necessarily any different.
Michael Baker - Deutsche Bank Securities, Inc.: So, I guess, to follow up on that – and those are good points, are there any way to quantify those points, whether it be the need for immediacy? You gave us the year-over-year growth in buy-online in-store pickup, but what percent of your total sales was that or maybe what percent of your sales come with some consultation rather than just someone grabbing an item and going percent of returns, anything like that? And by the way, can you help us what do you mean by a core return? I'm not familiar.
William C. Rhodes, III - AutoZone, Inc.: So, a core return is, if you buy an alternator from us, we will sell you the alternator for, let's say, $100, and has a $25 core because the old alternator is – it's a remanufactured alternator and the old alternator is the raw material to make the next one, so there's a deposit, if you will, is what a core charge is. So, the point is there's a tremendous reverse supply chain in this business that doesn't exist in many other businesses. A lot other businesses can talk about returns, but this one has a significant reverse supply chain. On buy-online pickup-in-store, it's not a significant part of our business today, so I don't want to overstate that. And then you asked how are we going to determine what this right price differential is over time. I think we're going to do it just the same way we've done the last 37 years. It's trial and error. We've had different competitive channels over the years and we have very effectively been able to optimize our pricing in light of the different competitive sets and I think we'll continue to do that.
Michael Baker - Deutsche Bank Securities, Inc.: Okay. Good. I think I'll turn it over to someone else now. Thanks.
William C. Rhodes, III - AutoZone, Inc.: Thanks.
William T. Giles - AutoZone, Inc.: Thanks, Mike.
Operator: The next question we have is coming from Dan Wewer, Raymond James. Your line is open.
Dan R. Wewer - Raymond James & Associates, Inc.: Thanks. Bill, one of the territories that did not achieve above-average same-store sales growth was the Southeast. We've seen a large number of O'Reilly stores opening in the State of Florida. Can you talk about how the growing competitive overlap in that state could be impacting sales growth?
William C. Rhodes, III - AutoZone, Inc.: Yeah. Dan, I wouldn't overstate their role into South Florida. We have different competitors that are going into different parts of the country all the time. Clearly, Florida is a strong market for us, but we're not the most dominant player as far as store count in Florida. There are others that have significantly more stores than us. I don't think we're seeing anything different in Florida than we've seen as we've had competitive encroachments in other parts of the country.
Dan R. Wewer - Raymond James & Associates, Inc.: Okay. And then just a second question and talking about Mexico. It sounds like that could be a longer-term challenge, given some of the political decisions being made in Washington. Is there anything that you can do to – whether it's hedging or pricing, anything to improve the profitability of your stores in Mexico?
William C. Rhodes, III - AutoZone, Inc.: Yeah. I would start with, first of all, we're very pleased with the performance of our Mexico business. I think our team down there has done a superb job of managing in light of this significant devaluation of the peso. Frankly, this all started a couple of years ago and, if you recall, we were talking last year that we thought it would kind of be a one-time deal and then would have muted impact going forward. That clearly has not happened. Post the election, the peso significantly deteriorated yet again. We can't manage the peso. We can go off and hedge, but we've elected not to do that. We've elected to try to do most of our hedging by buying in local currency and, therefore, we hedge the product cost versus hedging the profitabilities. But at the end of the day, if there's a deterioration in the peso, it hurts our U.S. dollar profits. But at the end of the day, we would be doing the same thing in Mexico that we've been doing all along, and it's been a good business for us and we anticipate it being a good business for a long time.
Dan R. Wewer - Raymond James & Associates, Inc.: And then the last question I have is on the better momentum in commercial. Do you think that's primarily the sales training that you alluded to earlier focusing on Yes! We've Got It? Are you expanding that message to a larger number of commercial customers or is it just going to your existing Platinum or Gold accounts and hitting them more aggressively?
William C. Rhodes, III - AutoZone, Inc.: I think it's multifaceted. Number one, yes, we're out communicating to our customers Yes! We've Got It in a way that we never have before. We believe we can do that because we're in a better position than we ever have been before. So, I would add a lot of the emphasis to just strictly the improvements that we have in inventory availability. And then as we've talked over the last year, another big part of what we're trying to do is significantly increase the engagement of our store managers and our district managers in this business. Many of us, myself included, grew up with the retail business. And so, for lack of a better term, it's kind of our comfort zone or our fast ball. We've got to force ourselves to get deeper and deeper into the commercial business and I think we're doing that over time and I think that will pay long-term significant dividends.
Dan R. Wewer - Raymond James & Associates, Inc.: Okay. Great. Thank you.
William C. Rhodes, III - AutoZone, Inc.: Thank you, Dan.
Operator: Thank you. The next question we have is coming from Steven Forbes from Guggenheim Securities. Your line is open.
Steven Forbes - Guggenheim Securities LLC: Good morning, guys.
William C. Rhodes, III - AutoZone, Inc.: Good morning.
William T. Giles - AutoZone, Inc.: Good morning.
Steven Forbes - Guggenheim Securities LLC: I wanted to focus on growth in the commercial segment, given the acceleration this quarter and maybe just high-level – some high-level commentary on how this business is progressing relative to your expectations in both segments, right, building existing customers and then also gaining new customers.
William T. Giles - AutoZone, Inc.: I think on both sides we've been very pleased overall, even with the recent performance of the quarter. I mean, we had an acceleration in our commercial programs overall. We're clearly gaining share, growing significantly faster than the industry. The team has put in several new programs in order to help drive both existing customers as well as prospecting and attaining new customers as well. So, that business does seem to be healthier and it seems on a track to continue to grow. So, I think on both sides, it's been healthy, but it's really more the existing customers that have been really strong, and that's the one area that we're really focused on.
Steven Forbes - Guggenheim Securities LLC: And then, maybe staying on that topic as a follow-up, I mean, is there anything to call out regionally? I mean, we talked about some of the regions so far this call from a performance standpoint within the commercial segment any one outstripping others? And then, do you know where you're gaining share from when you think about growing your existing customer base or is it really broad?
William T. Giles - AutoZone, Inc.: It's very broad and in fairness we have a low market share, so we believe that there's enormous greenfield opportunities for us across the country. All the regions performed reasonably well. Clearly, the weather-affected regions in prior years had been more challenged, but they weren't this year. They continued to perform well. So, we see it pretty balanced across the country, so we feel pretty good about the commercial team as a whole and how they're performing.
Steven Forbes - Guggenheim Securities LLC: Thank you.
Operator: Thank you. And that concludes our question-and-answer session. I'll hand the call over back to Mr. Bill Rhodes. Thank you.
William C. Rhodes, III - AutoZone, Inc.: Okay. Thank you. Before we conclude the call, I would like it take a moment to reiterate that our business model continues to be very solid. We're excited about our growth prospects for the balance of the year. We'll not take anything for granted, as we understand our customers have alternatives. We have a solid plan to succeed this fiscal year, but I want to stress that this is a marathon and not a sprint. As we continue to focus on the basics and focus on optimizing long-term shareholder value, we are confident AutoZone will continue to be very successful. Thank you all for participating in today's call. Have a great day.
Operator: That concludes today's call. Thank you for your participation. You may now disconnect.